Operator: Good afternoon. My name is Katrina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Daniel Briggs.
Daniel Briggs: Thank you. Joining on the call today are Rob Goldstein, our Chairman and Chief Executive Officer; and Patrick Dumont, our President and Chief Operating Officer. Also joining on the call are Dr. Wilfred Wong, President of Sands China; and Grant Chum, Chief Operating Officer of Sands China. Before I turn the call over to Rob, please let me remind you that today’s conference call will contain forward-looking statements that we are making under the safe harbor provision of federal securities laws. The company’s actual results could differ materially from the anticipated results in these forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides on our Investor Relations website. We may refer to those slides during the Q&A portion of the call. [Operator Instructions] Please note that this presentation is being recorded. With that, let me please turn the call over to Rob.
Rob Goldstein: Thank you, Dan. Good afternoon, everyone, and thank you for joining us today. The last two weeks have been the most difficult in our company’s history as we mourn the loss of our Founder, Sheldon Adelson. Sheldon, as you know, was a visionary. He led the transformation of not one but three integrated resort markets, that being Las Vegas, Macao, and Singapore. He offered the MICE-based Integrated Resort model in Las Vegas. He pioneered the development of the Cotai Strip in Macao and reimagined the skyline of Singapore to the iconic Marina Bay Sands. His audacity to challenge the status quo transformed the entire market. In Las Vegas, Sheldon originated the convention-based Integrated Resort model when no one, and I mean no one, who believe in its viability or sustainability. Today, Las Vegas conventions are synonymous. In Macao community, it’s not easy to forget how Sheldon’s vision for Cotai defied the consensus thinking at that time. Every element of Venetian *Macao is questioned by the skeptics, and I mean every element. A 3,000 room all-suite hotel, when the overnight tours market almost didn’t exist, existing hotel inventory was very limited. The Grand Canal Shoppes with over 300 retail stores in a market that had virtually no retail, a 15,000-seat arena and 1.2 million square foot convention center. He dreamt big but he also delivered, who * developed a critical mass of world-class integrated resorts at a record speed. Before others had * even dared to dream, he completed the Venetian Macao in 2007 and was the fifth year of our company’s 20-year concession. His determination pushing forward diversification and investment in non-gaming in Macao, was unwavering and breathtaking to be part of. Our total investment account today exceeds US$15 billion. We know that Sheldon was a big believer of a strong, healthy, and cordial U.S.-China relationship. He believed it was to the benefit of both countries to maintain a bilateral relationship based on mutual respect. The company, the Board, and the family are absolutely committed to continuing Sheldon’s efforts in this regard. Sheldon is irreplaceable as the visionary founder of our company of the unmatched portfolio of integrated resort assets, and the management team he assembled to operate and expand the business in the future remain here in place, ready to work. The DNA of the company that Sheldon founded will remain ever-present. The company with the full and wholehearted support of the Board and the family will continue to honor Sheldon’s vision to protect and enhance his legacy. We look forward to the future and do so with a lot of confidence and optimism. While the pandemic continues to impact our business adversely, we have achieved positive EBITDA in both Macao and Singapore in the fourth quarter, and there’s no doubt, in my mind, our business was down to pre-COVID levels in the future. In Macao, the Grand Suite Four Seasons is now open, and the first phase of Londoner Macao will officially open in February. We are very excited about the progressive unveiling of the Londoner Macao throughout the course of 2021. Sands China is well-positioned to capture a rebound in tourism when the pandemic finally does subside. We’ve always believed there’s no better market for our company to invest in than Macao. We will continue to invest in our resort product, nurture our local talent and, of course, support the local community, which we are grateful to. In Singapore, we remained very committed to long-term investment in Marina Bay Sands, including both the upgrading of our existing facilities and the expansion of that property. On a principal note, I’ve spent more than two decades with Sheldon. And had both fun and pleasure of working for and with Sheldon. He was a great mentor, he was a great friend. And I guess what speaks volumes about his generosity and decency is reflected in the decision to continue to pay our team members, even after the pandemic dramatically impacted our business. He was adamant that team members continue to receive pay and health benefits, even while we’re closing our buildings and it was abundantly clear that our business will be hampered for quite some time. In the days since he has passed, we received condolences from around the world from global leaders, elected officials, business partners, investors, customers and many of you joining us on the call today. We are touched by the outpouring of support, and we really appreciate that. I am honored to have been invited by the board with Las Vegas Sands and Sands China to become the Chairman and CEO of both companies. With the full support of the board and the family, I will work hard on upskilling team members, the management team to fulfill Sheldon’s extraordinary vision. I am confident, as Sheldon was *in 1995 this company will go from strength to strength in the future. For one final thought before we turn to questions, I look forward to the day, we can say, yield dividends. Operator, * we are ready for questions.
Operator: [Operator Instructions] First question, sir, we have Joe Greff from JPMorgan. Line is open.
Joe Greff: Good afternoon, everybody. Before asking questions, I just I want to offer my condolences to all of you as well as the pair, man. Rob and Patrick, you were obviously particularly close. So it’s a big loss and he truly was one of a kind. So my condolences.
Rob Goldstein: Thanks, Joe. We appreciate that. Thank you.
Joe Greff: So my question and my follow-up, focus on Macao. And yeah, when we kind of look back at what’s transpired with tourist investments from Mainland China into Macao, it’s obviously been more slow – the progress has been more slow than maybe what all of us anticipated, though it has shown some progress. Other than the government having this intentional gradual easing of visas to obviously dealing with this little kind of thing called the global pandemic. Are there any other policy issues or things that are maybe weighing in on visitation other than just simplistically visas are kind of being granted in conjunction with infection rates and vaccination rates and the like? And when you talk to folks in China, what specifically are folks looking at or metrics and improving metrics to sort of see a further easing of tourist visas?
Rob Goldstein: We’re fortunate to have both Wilfred and Grant on the call. I’m going to ask them to address that question, Joe. Gentlemen?
Wilfred Wong: Yes. Grant, you want to talk first?
Rob Goldstein: Yes. Why don’t you guys take it? Yes, Grant and Wilfred.
Grant Chum: Yes. Good afternoon, everyone. Yes. I mean, Joe, I think following the resumption of the visa issuance from late September, the business volumes clearly did rebound during the fourth quarter. And the recovery was led primarily by premium mass and luxury retail. I think both segments actually did show good momentum throughout the quarter. So in December, we had a very encouraging month, especially the holiday season. We reached over 50% hotel occupancy during the month. And there were – the peak days, we were achieving 8,500, 9,000 room nights, which obviously we haven’t done anywhere close to that since January. And if you look at the pace of recovery in retail, the luxury retail sales really took off during the quarter. And by December, Four Seasons’ retail mall was up 16% over the prior year. Actually, we had the best ever month that we ever had in Four Seasons mall tenant sales. So that’s pre and post-pandemic, a record month. So an issue here is what you referenced. There is just not sufficient visitation to power all segments of the business and to replace the volumes that we lost. So the base mass remains very subdued. Macao only had 20% of the prior year’s visitations during the fourth quarter. So really, there’s not a lot you can do about that. It’s not a policy issue in the sense of they can do something now that they would not otherwise be doing in light of having to prioritize the control of the pandemic. And obviously, the authorities have done an excellent job in that regard. So what you have to remember is that during the fourth quarter, they had a number of many outbreaks, local cases in different provinces and cities in China. And in October, November, they were relatively muted, and even for the first half of [indiscernible] so the number of zones or districts that were classified as medium to high risk from a COVID perspective was relatively few. But from about, let’s say, third week of December, the domestic cases started to rise in Northern China. And what we saw was that a lot more districts, a lot more zones and sometimes the whole cities were classified as medium to high risk, which immediately, obviously, puts a break on visitation from those affected zones or cities, but also the overall narrative and travel advisories related to COVID becomes, obviously, a lot more cautious, and that impacts forward bookings. So from about mid of December, where up to that point, we were getting very positive momentum in terms of forward bookings in January and obviously, into Chinese New Year. Obviously, things have started to moderate from a forward booking and the pace of new bookings and obviously, the increase in cancellations. So that is directly related to the trending of the pandemic and some of these isolated outbreaks that we’ve seen, particularly in the Northern provinces. So with that in mind, it’s not easy to see a relaxation of the current guidelines in terms of travel.
Joe Greff: That’s helpful. And then I have a follow-up, just, I guess, more on – so it may continue, this idea of Macao policy, and maybe this is a question for Wilfred or anybody on the call can answer. But do you think either Macao or the Central Government in Beijing want Mainland Chinese companies getting involved? With Macao casinos, either by existing states or having board representation, is this something that’s a priority for the government? So important? Have there been discussions? I kind of remember hearing something along these lines maybe a couple of years ago as this potentially happening on the ground in Macao a couple of years ago, but we’re getting more questions and commentary on that of late. So anything you can shed on that would be interesting. Thank you.
Rob Goldstein: Wilfred, Grant, or Patrick, you want to jump on that?
Wilfred Wong: Yes. I think the – obviously, we have not been told of anything at this stage. Consideration is now being given to what the conditions should be for the new concession. We have not picked up any nor have we been consulted on whether there should be the participation of Chinese companies. Now, but we have to bear in mind that Chinese companies are likely – I mean, real Chinese companies are likely to take part in gambling, which in China is considered not legal. So there were, in the past, some suggestions of people saying, state-owned enterprises might come in. I don’t think this really in line for their policy consideration. Whether private Chinese companies would be allowed to participate in Macao, and under what circumstances, these are things that have not been brought to us at all. So the only thing I can say at this stage is that we will continue to do our best in Macao and show that we are a locally rooted company because we are listed on the stock exchange in Hong Kong, so we are just the same as any Hong Kong company and that we do everything, even better than other competitors.
Rob Goldstein: Joe, can I just jump on Wilfred’s very, very thoughtful comments. We’ve been going to Beijing for around 20 years in Macao, and having endless meetings. I know there’s an outsized belief by some people who write these things, and they constantly opine their thoughts on how equity should be sold to Chinese companies, and they’re jumping up and down. I’ve never ever had a conversation with one person who mattered whoever said that to me or even made that comment, in fact, if anything, they kind of chuckle because to Wilfred’s comment, there’s not a big appetite to invest in gambling. So I know it’s very prevalent in the market. I hear quite a bit. I know that somebody wrote to me recently about how we could guarantee our licensure if we sell x percent. It all sounded very good, but one thing no one’s ever said that, the government to us. Never heard that from anybody actually understands how Macao and Beijing operate. In fact, I think what we do here, it is a complete affirmation of what Sheldon has always done, which is invest heavily, invest heavily in non-gaming activities, believe in Macao, support your employees, and think they can grow. That’s been the exact direction for at least the last five years. And before that, we heard more from Macao officials. We’ve never heard them say, hey, you got to sell stake the Chinese people or we’ve heard please support your employees, Sheldon do that to achieve. We paid everybody through the pandemic. It costs a lot of money. We did it. Invest in the cap. I think Sheldon, we’ve covered that already, $15 billion, invest in non-gaming. That’s always been a direction. But not onetime, from no one I’ve ever heard, oh, you’re a cyclone. I want to hear that from these people who write these columns or have a belief that they understand the thinking over there. I did once knew a very, very good person, a very important guy in the Chinese world, a businessman. And I suggest, so he started laughing, he said no one is going to buy into a Chinese gambling company whether it’s Macao or Las Vegas because that’s not what we’re going to do. We found it kind of humorous actually. So I know that’s a common prevailing thought. But we don’t hear it.
Joe Greff: Great. Thank you, guys.
Operator: Next question, we have Carlo Santarelli from Deutsche Bank. Your line is open.
Carlo Santarelli: Hey, guys. Thank you for taking my question, and I echo Joe’s sentiments about the recent loss.
Rob Goldstein: Thank you for your kind words to us. We appreciate what you said. It was very kind and thoughtful. Really appreciate it.
Carlo Santarelli: Thank you, Rob. If I could, just very simplistically. To the best of your understanding, how should we expect the concession renewal process to actually get moving? What do you guys foresee at the time line to when potentially, we could start to see some announcements as to the process and the time line for the process and et cetera? Just in its simplest form.
Rob Goldstein: I’m going to turn back to the fellows in Macao. I think they’re best suited to answer your query. Wilfred, Grant, help us.
Wilfred Wong: Yes. We are as eagerly waiting for the government’s direction. Because, as you all know, we only have about 17 months left before the concession expires. And we only know that the government is adopting a process, which includes public consultation on the performance of the concession is and the targets of achieving diversification, that amendments to the legislation have to be introduced into the legislative council, and then the bidding process begins. So it’s a very tight timetable that we are running against. We also know that there is a legislative council election scheduled for September this year. So all these are coming into play, and we are coming up against a very tight timetable. We don’t know whether this will begin very soon because right now, the government is all involved in the fight against the pandemic. As we all know, Macao cannot afford a single case because it was a public announcement by the government that if there is even one case, Macao would be locked down again. So the government is putting all their energy into the fight against the pandemic to ensure that visitors can continue to come. So we don’t know. The short answer is we don’t know. And when asked about this publicly, the Chief Executive said that anything is possible. I think he was asked whether there could be an extension or how soon can this be done. And his response was, anything is possible.
Carlo Santarelli: Great. Thank you very much. That’s very helpful. And then just as a follow-up. Obviously, last quarter, you guys talked a little bit about the Las Vegas asset, potentially being open to entertain offers to that asset. Rob or Patrick, does that influence potentially the timing of the return of the dividend? Or do you think more about the dividend from the lens of when Macao is back and Marina Bay Sands is back, doing what they do, you’ll be able to kind of reinstitute that?
Patrick Dumont: Hi. It’s Patrick. So a couple of things. We have a very positive view in Las Vegas. I think long term, it’s irreplaceable in terms of a tourist destination. A huge amount of investment going into Las Vegas. We think there’s a huge amount of potential pent-up demand just looking at other markets when there’s been a return. And really, the restriction in Las Vegas now are based on the capacity constraints set by the government. On weekends, we’re actually doing quite well. There are days where we’re actually almost at 2019 slot levels. It’s really an interesting thing to see, and I think we’re very positive on Vegas outlook just generally. That being said, if there is a completion of the sale process, it’s independent of the dividend. I think the key thing for us is that we need to see a return to operations. We’ve had this discussion before on prior calls. We need to understand what the cash flow trajectory of the business is, the growth in that cash flow trajectory. You’ve heard Grant mention the completion of some of the Londoner milestones. That’s a phenomenal product, and we believe it will be very cash flow generative in the quarters and years to come as it addresses our most profitable and powerful segment in Macao. So the way we’ll look at the dividend is to evaluate our cash flow trajectory and the profile of the business and then make an assessment about how to restart it and sort of what the trajectory of that dividend would look like. But we’re very focused on the return of capital. We think it’s been fundamental to our shareholder return story. We think we have a growth component in our key markets. We have a growth component and new growth opportunities and new developments. And I think as part of that, we look very heavily toward the dividend as our cornerstone and, of course, the share repurchases as well. So we’re very focused, getting on the other side of the pandemic. Hopefully, we’ll see some positive in the upcoming quarters. We have some green shoots in Macao. We have some positive results in Singapore and some positive results in Las Vegas here. And so I think over time, we’ll have better visibility into the trajectory of the business. And then we’ll make an assessment of the timing and the size of the dividend.
Rob Goldstein: Carlos, I just want to follow-up with Patrick. There’s one other issue with that. And that is the return of Las Vegas. There’s been recent commentary, it’s been fun to read about how Las Vegas will never return to pre-pandemic levels. The best days are behind it. I’ve heard all of this before over the last 20, 30 years, about this town is right now on the back foot. There’s no question about it struggling. But you can’t help but think, there’s this thing that is the vaccine or whatever it’s going to take to fix this problem someday. Again, I want to reensure that we believe Las Vegas has plenty of gas in the tank. Our demand for 2022 through 2027 convention is unbelievable. Our customers want to come, and we remain very bullish on the return of Las Vegas. It may take longer than we want it to. It may take till the end of this year, as we see a visitation spike. But please don’t be among those people who have these ideas that this pandemic would put a hole in Las Vegas. And just the opposite, the demand will be there. This is a unique town. We’re going to have all the digital products out there you want. People want the visitation, and this town has a lot to offer. So we remain very bullish on the return post-pandemic.
Carlo Santarelli: Yeah. For sure, Rob and thank you for that. And I understand that a lot of us on the call are looking forward to making our next trip out there. I know I am. So thank you guys very much.
Rob Goldstein: You’re going to, I believe. Looking forward to having you.
Operator: Next question, we have Thomas Allen from Morgan Stanley. Your line is open.
Thomas Allen: Hey, and let me also send my condolence to you and the entire LVS and Adelson family. Mr. Adelson was a true visionary and his successes will never be forgotten, so…
Rob Goldstein: Thank you. Thank you for your comments. Thanks.
Thomas Allen: So there have been a number of reports in the media over the past few weeks and months about you looking to support saying online gaming opportunities. Can you just discuss your strategy there in a bit more detail?
Rob Goldstein: Sure. We’re looking at a few opportunities, a multitude of opportunities in both regional and the U.S. And yes, we’ve looked at digital. And it’s interesting, you can’t deny the – what’s happened in digital is quite a space. And we are exploring opportunities, looking at what might be out there. But with a caveat had, there’s nothing to report today. There’s nothing concrete. We’re simply looking, learning, observing, and just – there’s been some commentary that it’s my suggestion. I want to assure you that Sheldon – this is another [indiscernible] Sheldon, who he was ethically, he understood digital, maybe too well before I did. And he believed in it. He just simply had this outsized ethical concern about people who couldn’t afford it or people that were too young to use it. And he wasn’t a believer in the technology could stop that. He never questioned the viability of it. He questioned the ability to police it properly. And so the same way he paid people, hundreds of millions of dollars last year because he wanted to. It’s an ethical consideration to Sheldon. So we’ve had this discussion prior to his passing, and we are going to explore it. And again, the cab is we are in the making-money business. So there’s a way to make money, it’s intelligent and prudent. And again, Sheldon would be in the room saying, I’m laser-focused on returns and growth. As you know, his middle name was G for growth. He would have loved the opportunity whether it be in the U.S. or abroad to build more things and that we’re not leaving the U.S. We want to build it. We’ve been all over the paper, looking at different markets. So yes, visuals in the multitude of considerations we are learning and observing and talking to people. We are nowhere near a decision on that, and we will keep you apprised if something changes.
Thomas Allen: Thanks, Rob. And then just talking about U.S. developments on the brick-and-mortar front there’s been some chat about New York and Texas. What do you think the chances are of those States? And then how would you expect – how would you like to be positioned in those markets?
Rob Goldstein: Well, we’ve been looking at New York for about 100 years it seems like. We’re having some secret, we’re big believers in New York. We think it’s extraordinary, the density of population ethnicity, like, it’s a very good opportunity for anybody and you can see, I think almost, it’s close to $2 billion right now just in the facilities are there, without table games or decent rooms and probably product. A good product there will be extraordinary. So we’re definitely in the hunt. We’ve been pushing it for again for four or five years. We’re excited by what came out of the New York group last week in terms of what they impart considering. There’s not a fly out there. So we’re keeping hunt and looking seriously at New York on a whole bunch of levels. And it’s still a long way to go before we understand where they want to build and what they want to build, but we are going to be fitters. If it’s real and it’s done properly, we think the returns could be Sheldon like. Okay. So that’s interesting. On Texas, obviously, extraordinary market, we’re kicking the tires down there too. And another extraordinary market, you can’t deny the power of Texas and the size and scale. And then I was there last week and it was a fascinating couple of days. And again, we’re having conversations. We’re looking to kicking the tires, and we will advise you when something emerges infects us. It would be a great casino market for land-based store, whatever it could be a huge opportunity. So these are opportunities that we – with our balance sheet and strength, we would jumped with both feet. It was the right structure.
Thomas Allen: Thank you.
Operator: Next question, we have Robin Farley from UBS. Your line is open.
Robin Farley: Great. Thanks very much, and just echoing everyone else’s thoughts about how sad it is to have this call without Sheldon. And just a follow-up question related to the sale of the LVS assets the Vegas assets, I mean, not specifically to the dividend, but just kind of how much of a priority it is. Is it where you just kind of answering an incoming call? Or is it something where you see that there may be some strategic reason why you would sell those assets, I guess? Thanks.
Rob Goldstein: Patrick?
Patrick Dumont: So I think from our standpoint, we’re very returns focused. So as Rob just mentioned, we’re always looking at new opportunities and always looking at our portfolio to see how we maximize shareholder returns. And as an entrepreneurial company, we’re always accurate. So I think we should just look at this as, if there’s a way to maximize shareholder returns, we’re going to do it. And we constantly look at the assets that we have in our portfolio. We look at new growth opportunities, as Rob just mentioned, and we talk about them. This is something that our team is very focused on. So that’s really how we think about it.
Robin Farley: I guess if I could push a little more and I guess, what kind of appetite did you sounds to me. You sort of publicly confirmed it, which maybe would invade some interest, what kind of appetite? And you mentioned being returns focused, but almost anything that you would be interested in New York or Texas or other places would be kind of project-specific financing, right? So it wouldn’t necessarily – you don’t need the capital to free up to sort of put in to use in any other markets. So I guess just trying to think about, what kind of – in this environment, what kind of appetite you think there maybe for the assets? Thanks.
Patrick Dumont: So I think there’s a couple of different question there. So first off, I think the way we think about our portfolio is, we sort of evaluate projects on a case-by-case basis. So Las Vegas is a standalone entity. We’ve operated it for a long time. We think it’s a great asset. We think it has a great future. So obviously, we’re focused operating at this point. I think in terms of – if we have additional capital to deploy. As you know, we have an expansion opportunity in Singapore that we’re very focused on. And we think Singapore is just a very special market. It’s privileged the fact that we’re there. We love Singapore and think the future for Singapore is very strong, both as a leisure and business tourism market. And we’re happy to have helped the government there. support its goals and continue to invest there. So we have capital that we get deployed there in the near term. I think in terms of other opportunities, you hear some of the things that Rob is talking about, we also have return of capital consideration. So for us capital allocation is front and center. We have these discussions with the management team and the Board all the time. So it’s something where we’ll look at our opportunities, look for a way to maximize shareholder returns. And we have assets where we think our returns are increased by transacting while transact, and otherwise we’ll look to the sort of historical actions that we’ve taken in order to enhance returns. In the near term, it’s also helpful to have additional liquidity, right? So I think from our standpoint as the pandemic recovers, it’s nice to have additional liquidity on the balance sheet, which is the reason why we’re running the amount of liquidity that we have today, right? We want to make sure that we have the opportunity to do whatever we need to do during this unprecedented time. So I think from that standpoint, that’s kind of how we think about things. I hope this answers your question.
Rob Goldstein: Robin, just to piggyback on Patrick Dumont’s thought. And that is obviously, we have a very strong balance sheet whether we sell Las Vegas or not. But we also have, I believe the next couple of years, as you know 2019, we did about $5.5 billion [ph] EBITDA, I know these miserable years of 2020 and perhaps even 2021 make that seem like a distant memory, but lenient comes back and comes back strong. And also, I believe when Macau makes his decision, there’s going to be a requirement to invest more in Macau, which as Sheldon himself, well, I can’t wait to invest $5 billion, $10 billion. That’s a very – in my opinion that when the Macanese government makes this decision, ideally contingent upon a rather substantial capital investment, which we know exactly what Sheldon is doing that with both hands. And that may be something else you think about it. There’s just no place like Macau. I think Grant and Wilfred gave you sense of London in four seasons, I hope we can all visit and be there, that we would see, what that team has achieved. But we’re not done in Macau. Leads can be there for many more years. And when all this gets to over, it goes away, probably later this year or next, whenever, I don’t know, I’m not going to predict because I’ve been wrong before. It won’t be wrong again because I won’t make a bet. But I bet one thing will happen is that the Macau’s government is going to necessitate that licensees make investments in Macau. And we want to be there, be ready, Patrick referenced Singapore. I mean, these are not small investments. They’re in the billions of dollars. So I think we have to be prepared for outsized investments in our best markets, which are Macao and Singapore for crazy growth. And then there are other possibilities in the U.S. to reference. So as strong as we are, we can get stronger in growth.
Robin Farley: Okay, great. Thank you very much. Thanks.
Operator: Next question, we have Stephen Grambling from Goldman Sachs. Your line is open.
Stephen Grambling: Thanks for the question and condolences to everyone on the line. My first question is on Singapore, as it continues to be remarkably resilient. What are you learning from the reaching of results about serving domestic crowd that might inform your renovation plans? And does this make you more confident, the potential ROI on these investments? Will that ultimately require a full recovery in China consumers?
Rob Goldstein: Well, firstly, as we serve, we found as Singapore is remarkably resilient. You’re right. And the slot business there is actually not quite at pre-pandemic levels, it’s getting closed. So we’ve learned that there’s a local market, but more important than the local market, frankly, are the outsized contributions of foreigners, who were residing during the pandemic or full-time in Singapore. We have a lot of strong players inside the country from wealthy people that want to gamble. And that’s a very positive sign. You saw the numbers, if we can run. Even though it’s not the $1.7 billion we used to be at, not going to $2 billion, $3 billion or $4 billion like to be at. It’s still a run rate of the $0.5 billion plus dollars in the most dramatic times. All it does for me is reinforced us how being powerful on Singapore, how wonderful the asset and frankly, who wonderful the government is to work with there, in terms of – they’re still willing to talk and work with us. And we’re hoping to get actually know there in March to continue our discussion, how to get phase two going. But it reinforces the enormous size and scale of that market and to think about having no foreign visitation yet to make that kind of money and perhaps even more, it’s very encouraging. On the flip side, it also makes you wonder how important the airlift is as an island. It’s hampered by the fact, unlike Macao, which could open the doors up if the government so chosen to relax the visitation requirements. In Singapore, the government is eager to open the doors, but it necessitates airlift, which means counterparty trading with other governments and other airlines. So we don’t see it coming back in the short term, I think it stays in this $150 million a quarter or so level. And so there’s no real growth opportunity, I think, to see until this airlift issue is resolved. But it certainly makes us very much want to invest in Singapore. It’s a great place to do business. It’s a great market. Obviously, we need a return of all consumers, foreign consumers to enhance it. But do we want to invest money in Singapore, we sure do. We should get our product better. We have a lot of work to do in the building right now. We’re actually embarking on an ambitious reinvestment program in the current asset to bring it up to a better standard. And then we want to build our second phase and similarly resolve everything. So we’re – just like Macao, we’re lucky to be there. And the idea we did – we can do $5-plus billion post-pandemic is pretty encouraging. It can be more. We think it can be a lot more. Yes.
Stephen Grambling: And maybe a follow-up on digital and i-gaming, and I realize it’s still early, and you said you’ve been studying the industry, but are there any initial thoughts on what you think the company can bring to the table different than the existing players?
Rob Goldstein: I have very strong thoughts about it, but I don’t want to talk about them at this time. I want to keep working towards our goals, which is understand, it fully complete the conversation, and frankly, we’re undertaking to really understand how to get there. It’s a very interesting business, as you know. It doesn’t make a lot of money, but it sure has great valuations. The question is, can we bring something to the table to make a lot of money. And we’re working through it, and we’re exploring. It’s best I can tell you. We have something of concrete to say to you at a certain point. But right now, it’s simply exploratory. In the same way, we explore a lot of things all the time. You saw in Thailand, I think someone came out about the possibility of an opportunity to either in Thailand, we’re exploring that as well. So everything is up for grabs. I think when we look at our company the balance sheet enables us to have a very curious appetite to grow. And again, we’re going to adhere to the founders, Gary Growth Adelson, and he believed in it, and we’re certainly going to adhere to that. And I think you’ll hear some things from us, hopefully, in the next 12 months that will make you believe in that idea.
Stephen Grambling: Sounds great. Thanks so much.
Operator: Next question, we have Shaun Kelley of Bank of America. Line is open.
Shaun Kelley: Hi. Good afternoon, everyone. I also want to offer my condolences to you, Rob, Patrick, to the whole Adelson and Las Vegas Sands families.
Rob Goldstein: Thank you. Appreciate, Shaun. Thank you very much.
Shaun Kelley: So I guess I’d like to maybe turn back to Macao for a quick minute if we could. I think Grant’s comments start off as a little sobering about sort of expectations of when we can start thinking about a recovery relative to kind of what’s going on with the pandemic in China. And if we step back for a second, maybe it’s a little harder for us over here, sometimes to monitor exactly the nuances of some of the vaccine developments, but one thing that’s increasingly separating the U.S. recovery narrative from overseas is probably that to some degree? So I’m wondering, if we could get a little bit of thought around maybe some of the vaccination programs and what the expectations are around that for maybe within Macao, broader thoughts on the local area there, possibly Hong Kong, and then how that could branch out to China in terms of – is that what we may need to really see a more concrete reopening for this entire market at this stage?
Rob Goldstein: Is the sobering Mr. Chum still awake?
Grant Chum: Yes. Okay. Yes. I think, Shaun, firstly, we have to stand back and look at the domestic Chinese economy during the course of especially the second half of 2020. So it is different from the western economies, largely the domestic economy was recovering very strongly. So this is without, obviously, vaccination being applied to the whole population. And that’s obviously attributable to the fantastic control of the pandemic. So as you look into the fourth quarter, you’re getting the 6.5% GDP growth in domestic China without the vaccination. So that’s a very, very strong outcome. And obviously, the consumer is getting stronger across the board. So I think we have to look at China in a slightly different way. The strategy is to continue to control to basically zero local cases. And whether that is achieved through vaccination, whether that is achieved through what they’ve already been doing. Clearly, there is a path either way to clearing the locations and localities from the virus. And that will enable travel to resume more normally between Mainland China and Macao. So I think that’s the first and most important point. In terms of the vaccine strategy, locally, you’ve seen comments from the local governments of both SARs, both Hong Kong and Macao, both have a strategy to procure a number of different vaccines, actually three from three different providers. And both cities are looking to procure the first batch during the first quarter as we understand. So the local populations in the SARs will also be looking at a vaccination program in the months ahead. But really, the most important thing is still controlling the pandemic in terms of the local cases inside China itself. And if Macao then can be part of the domestic travel bubble, in a bigger way, in an easier way in a more fluid way than has been the case up to now, then obviously, the tourism and the consumption spend will come back very strongly. And there has been progress. I think obviously, it’s from a low base, but there has been progress. There has been a gradual easing up of the logistics and getting used to some of the guidelines throughout the course of the fourth quarter. But again, the central point is as the worldwide pandemic got worse in the winter months, there are more imported cases that leads to more isolated outbreaks in some of the provinces in China. Then obviously, that puts pressure on restrictions again and the travel advisories that are issued by various different local governments and entities, especially prior to Chinese New Year, which is, as you know, a period of huge migration of the population in travel. So that obviously rightly gives some consideration from the perspective of authorities that we need to be very careful at this stage, which is very delicate. So again, another important point is as the pandemic – obviously if it subsides in the rest of the world as well, then that imported risk reduces, and that obviously relieves the pressure inside China as well, which hopefully is another factor that would lead to a normalization of the travel between Macao and Mainland China.
Shaun Kelley: That’s helpful, Grant. And then maybe just as a further follow-up, this is probably maybe more for Wilfred, if he is still on. But last quarter, there was a little bit of commentary about the overseas gambling law. And I think we’re approaching a little bit more or a closer kind of the point of probably both where we know more things about that law and also its implementation, which I believe is set from March 1. So just wondering, do we know anything more about that today than we knew before, any changes or additions to that that we should be aware of?
Wilfred Wong: Yes. Actually, the amendment to Article 303 of the criminal law has been enacted. It was enacted about two weeks ago. And as you appreciate this law, this amendment deals with people organizing gambling, running casinos, and particularly organizing citizens of China to go outside of the country to participate in gambling. Now there were – the inactive version made two changes of the previous draft. First, the definition of the criminal actor, which they tried to come up with a definition was removed. So they just used a catch-all phrase of whoever organizes. So this is to avoid people arguing who falls into the net. The second change appears to be a bit positive, but it’s still ambiguous for Macao is that in the legislation, they specifically say outside of the country, which, as you all appreciate, Hong Kong, Macao, and Taiwan is generally considered within the country. But then they leave an ambiguity thereby putting the word, offshore, inside the bracket after, outside the country. Now this introduces the ambiguity, and I was discussing this with both our lawyers in Beijing and the local NPC, National People’s Congress, people attending the session. And they said that while the central people’s government recognizes the special status of Macao, they do not want Macao to be exploited as a base for organizing such activities to take people outside of the country, such as the Southeast Asian countries. And as we all know, the Ministry of Tourism has compiled and is compiling a blacklist of countries to which they are known to be accommodating gambling from Chinese citizens. So to us, there is certain ambiguity, which will ultimately be decided by the authorities and the courts going forward. But at this stage, it is for sure that any person or a junket trying to use Macao as a base to organize gambling to other countries would be condemned.
Shaun Kelley: Thank you for that.
Operator: For the last question, we have David Katz from Jefferies. Your line is open.
David Katz: Hi. My condolences as well, and the best part of this job is always the truly extraordinary people we get to meet, and that he was certainly a treasure and fun for sure.
Rob Goldstein: That’s so true. People – one thing I miss with Sheldon is his humor. Everyone talks about everything else but he was – he loved a laugh in a good time. And he just would sing and this guy’s humor. So what’s your question, David? Thank you for your comments.
David Katz: Look, I think one of the slides in your deck, it suggests or implies that some of the rolling volume that’s gone away has been recaptured within the mass is premium mass. Among all of the unknowables that you’ve done your best to address, are you able to look into what you have in the premium mass and measure how much of that is a recapture of potential VIP dollars? And what is your best guess about, if you were sitting down to model one to four years out, how you would think about modeling VIP, just given where we sit today? And that’s it. Thank you.
Rob Goldstein: Grant?
Grant Chum: Yes. Thanks for the question, David. I think structurally – and this is not to do with the pandemic. Structurally, we’ve seen, obviously, the power and the growth of the premium mass over the last several years, and that trend is going to continue, whether it’s pre-pandemic, during and after. And the reality of that is because the players, the customers, they want to deal directly with the owners or operators of these great assets. And obviously, the great lifestyle destination that would provide the multitude of amenities and the services that we’re able to offer is very, very appealing. So I think that will continue. So your reference to, is there a transfer from one segment to another? I think structurally, there has been over the last several years anyway. And that’s one of the brilliant things about Sheldon’s Integrated Resort model is that we can offer everything from entertainment to the retail, to the food and beverage, to the spas, all of these non-gaming lifestyle amenities. So that trend is structural, and that’s why we strategically invested in products that serve this segment. In terms of specifically, what’s happening now, the situation is – you referenced, it’s more related to issues specific to the system in the junket segment, and that has stabilized at low levels of volumes. And obviously, as a result of some of those issues, you may see that as new demand resurfaces and resumes in the coming years, that new demand is captured directly by the operators rather than through intermediaries. That also is true. But I think the overarching trend was there before anyway and would have continued in that manner. It’s just that what’s happened in the last 12 months may somewhat accelerate that trend. But it was going to be a big structural trend and driver for years to come anyway.
David Katz: Perfect. Thank you very much.
Rob Goldstein: Thank you, David.
Operator: Ladies and gentlemen, that’s all the time that we have for today. Thank you all for participating. You may now disconnect.